Executives: Dan Lesnak -  John P. Surma - Chairman, Chief Executive Officer and Member of Proxy Committee Gretchen Robinson Haggerty - Chief Financial Officer and Executive Vice President
Analysts: Michael F. Gambardella - JP Morgan Chase & Co, Research Division Kuni M. Chen - CRT Capital Group LLC, Research Division Michelle Applebaum David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division Justine Fisher - Goldman Sachs Group Inc., Research Division Luke Folta - Jefferies & Company, Inc., Research Division Shneur Z. Gershuni - UBS Investment Bank, Research Division Timna Tanners - BofA Merrill Lynch, Research Division Brett Levy - Jefferies & Company, Inc., Research Division David Gagliano - Crédit Suisse AG, Research Division David S. MacGregor - Longbow Research LLC Brian Yu - Citigroup Inc, Research Division Sohail Tharani - Goldman Sachs Group Inc., Research Division David Katz - JP Morgan Chase & Co, Research Division Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division Evan L. Kurtz - Morgan Stanley, Research Division Richard Garchitorena - Crédit Suisse AG, Research Division Mark L. Parr - KeyBanc Capital Markets Inc., Research Division Sam Dubinsky - Wells Fargo Securities, LLC, Research Division Nate Carruthers
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the United States Steel Corp. Fourth Quarter 2011 Earnings Conference Call and Webcast. [Operator Instructions] As a reminder, today's call is being recorded. I'll now turn the conference over to the Manager of Investor Relations, Mr. Dan Lesnak. Please go ahead, sir.
Dan Lesnak: Thanks, John. Good afternoon, and thank you for participating in today's earnings conference call and webcast. For those of you participating by phone, the slides included in the webcast are also available under the Investors section of our website at www.ussteel.com. We'll start the call with introductory remarks from U.S. Steel Chairman and CEO, John Surma, covering our fourth quarter and full year 2011 results, as well as the sale of U.S. Steel Serbia. Next, I will provide some additional details for the fourth quarter; and then Gretchen Haggerty, U.S. Steel Executive Vice President and CFO, will comment on a few financial matters and our outlook for the first quarter of 2012. Following our prepared remarks, we'll be happy to take your questions. Before we begin, I must caution you that today's conference call contains forward-looking statements, and that future results may differ materially from statements or projections made on today's call. For your convenience, the forward-looking statements and risk factors that could affect those statements are referenced at the end of our release and are included in our most recent annual report on Form 10-K and updated on our quarterly reports on Form 10-Q in accordance with the Safe Harbor provisions. Now to begin the call, here is U.S. Steel Chairman and CEO, John Surma.
John P. Surma: Thanks, Dan, and good afternoon, everyone. Thanks for taking time to join us. Earlier today, we reported a fourth quarter net loss of $226 million or $1.57 per diluted share on net sales of $4.8 billion and shipments of 5.4 million tons. Excluding the effects of foreign currency accounting losses related to the remeasurement of an intercompany loan and an environmental remediation charge, our adjusted net loss was $164 million as compared to an adjusted net loss of $227 million in the fourth quarter of last year. Our adjusted loss per share of $1.14 was a $0.44 per share improvement over the fourth quarter of 2010. Now before discussing our financial results in more detail, let me comment on our safety performance. Statistically, 2011 was the safest year in our company's history. The continued active engagement of our entire workforce resulted in improved performance in our key safety measurements. While we were pleased with our progress in recent years and the results we achieved in 2011, we recognize that there is still much room for improvement as an unfortunate incident that occurred at our Gary Works last night illustrates. We will remain focused on achieving our ultimate goal of 0 injuries across our entire company. Now turning to our operating results. Our segment's operating income was $652 million in 2011, a significant improvement from the $114 million we reported for 2010. Our Flat-rolled segment income from operations improved by over $700 million or $46 per ton, as we finished 2011 with operating income of $452 million. Our Tubular segment turned in another solid performance in 2011 as rig counts trended up throughout the year while we continued to face increasingly difficult economic and steel market conditions in Europe, particularly for our Serbian operations. As we commented last quarter, we had been exploring all of our options in Serbia because we simply were not willing to accept continuing losses. Our Serbian operations had struggled since the onset of the global economic crisis. As had become increasingly clear throughout 2011, the Serbian operations were our most challenged, with complete reliance on merchant raw materials, serving a European steel market that has been slow to recover, particularly in Southern Europe and the Balkan region, and a product mix that is predominantly commodity-grade hot-rolled products. We took significant actions to address these issues, including changing our operating configuration to a 1-blast furnace operation, shifting our commercial focus toward value-added products, implementing a wide variety of cost reduction programs, installing pulverized coal injection facilities to reduce our exposure to the merchant coke market. We have always had a very positive working relationship with the government of Serbia. And consistent with this long-standing spirit of cooperation, we have been in regular contact with the government over the last few months, keeping them apprised of the economic challenges facing our Serbian operations and our efforts to address these challenges. However, the continued deterioration of the European market, particularly in the second half of 2011, resulted in market conditions that our operating, commercial and cost-reduction efforts could not overcome. Additional efforts to address our cost and commercial position would've entailed significant capital investment in cokemaking and steel-finishing facilities, without any certainty that these investments could overcome the exceedingly difficult market conditions in a reasonable timeframe. Furthermore, our efforts to find a buyer who might be better-positioned to profitably operate the business did not provide any viable alternatives. We therefore concluded that it was in the best interests of our shareholders to sell U.S. Steel Serbia to the Republic of Serbia and we completed the sale earlier today. We expect to record a total non-cash charge of between $400 million and $450 million in the first quarter of 2012 as a result of the sale. Our 2011 results will not be affected. This was a difficult decision, but we simply could not continue to incur operating losses in Serbia. The sale allows us to exit the operations quickly, avoid further losses and redirect our capital to other operations. This is also a better outcome for the U.S. Steel Serbia employees than some of the other alternatives we had considered. We appreciate the hard work and dedication of our Serbian workforce under very difficult conditions. I'd particularly like to recognize the great improvements that were made in their safety performance over the years and we wish them well in the future. Now turning back to our fourth quarter results. For U.S. Steel Europe, our operating loss increased to $89 million compared to a $50 million loss in the third quarter, primarily due to lower average realized euro-based prices, production volume and shipments as market demand softened in response to the continuing difficult economic conditions in Europe, partially offset by lower operating cost reflecting lower raw materials and facility repair and maintenance costs. Now while we've sold our operations in Serbia, we continue to move forward in Slovakia where our operations and markets, while still not recovered from the economic crisis, do not face the same level of challenges we had in Serbia. Over the last several years, GDP growth trends in Central Europe have generally outperformed the total euro zone, and U.S. Steel Košice, is well-positioned to serve these markets from both a geographic and capability perspective with the ability to supply a wide range of value-added products demanded by customers in this region. While we are a merchant buyer of iron ore and coal, we have a high level of cokemaking capability and are nearly self-sufficient at normal operating levels, which limits our exposure to a volatile and expensive merchant coke market. Even through these very difficult economic conditions we have faced since late 2008, U.S. Steel Košice has produced positive operating results, and we believe we are well-positioned to benefit from an eventual economic recovery in this region. Our Flat-rolled segment had a loss from operations for the fourth quarter of $89 million as compared to an operating income of $203 million in the third quarter. The decrease was driven largely by lower average realized prices and shipments as fourth quarter prices decreased by $32 per ton, reflecting lower than average realized prices on both spot market business and our index-based contracts. In addition to these market-related effects, which totaled $185 million, we performed maintenance outages at several facilities which resulted in increased costs of approximately $50 million compared to the third quarter. We incurred approximately $20 million of costs related to the ratification of the new labor agreement and the restart of finishing facilities at our Hamilton Works. And as we noted in our release, we had an accounting loss of $60 million on the sale of some excess pellet inventory. This loss was incurred because we have sold pellets that had a higher accounting cost which was well above our average in an incremental pellet costs, which were both lower than the selling price. Considering all of these items, our facilities operated well. We maintained good cost control and our production volumes were ramping up late in the quarter, as our order rates improved. Our raw materials position in North America remains strong. We will continue to benefit from our high level of iron ore self-sufficiency with the vast majority of our pellets coming from our wholly-owned mines in Minnesota and our equity interests. We now have all the necessary permits for an expansion of our Keetac facility and we continue to develop the specifics of this project. With our current North American cokemaking facilities, the long-term Gateway supply agreement with Granite City and increased injection of natural gas to reduce our coke consumption rates, we currently do not anticipate the need to purchase merchant coke in 2012. Natural gas continues to be a very cost-effective fuel in our blast furnaces as a substitute for a portion of our coke needs, and we're expecting our 2012 coke consumption rate per ton of hot metal to be approximately 100 pounds lower as compared to our 2010 consumption rate. Our coke and coke substitute projects at Clairton and Gary remain on target and we currently anticipate these facilities will start production in 2012 and reach their full production capabilities in early 2015. With the completion of the coke and coke substitute projects at Clairton and Gary, we believe we will remain self-sufficient when the markets have recovered to pre-recession levels. We have all of our North American coking coal requirements for 2012 sourced and priced, and we expect that our coking coal call costs will increase by about $9 per ton in 2012. And we'll average approximately $188 per ton including freight to our cokemaking facilities. This reflects the benefits of our continuing aggressive efforts to include a larger portion of lower-priced coals in our coal blends. We anticipate that the markets we serve will continue to improve in 2012. Indications are that activity in every significant flat-rolled industry segment that we participate in is increasing, some more than others, but all positive nonetheless. We expect our markets to be led by continued automotive growth, with most projected vehicle production estimates above the 14 million mark, a healthy gain from the roughly 13 million vehicles produced in 2011. Other manufacturing segments like industrial equipment, and probably to a lesser extent, tin mill products and appliances, also appear to be positioned for some moderate increases this year. We believe that the energy markets will continue to drive demand for pipe and tube converters and that even the sluggish construction industry may begin the long climb out of the recessionary doldrums. Continued demand growth across all of these markets should also translate into higher and more consistent service center shipments throughout the year. I'm confident that our people in our facilities are ready to meet our customers' increasing needs with the on-time delivery of high-quality products, supported by the strong customer service and technical support that will keep us the supplier of choice in these very important markets. Our Tubular segment continued to post solid results with operating income of $119 million in the fourth quarter. Average realized prices increased for the third consecutive quarter, and we're $1,711 per ton in the fourth quarter. Shipments were 482,000 tons, reflecting continued strong demand for energy-related Tubular Products. Now also reflected in fourth quarter results were increased maintenance, outage and repair cost and some start-up costs for the newly commissioned heat treat and finishing facilities at our Lorain Tubular Operations in Ohio. The rig counts in the U.S. continued to drive demand for OCTG products and have increased steadily since mid-2009. High oil and liquids prices have supported increased drilling activity, with the growth in oil-directed rig counts outpacing the decrease in natural gas rig counts. As the only fully integrated domestic Tubular producer and the only domestic producer offering a full range of products and services, we are well-positioned to provide the products and services our customers need, particularly for the growing demand for heat-treated OCTG products in North America market. The new heat treat and finishing facility in Lorain is strategically located to serve the Marcellus region and the future developments of the Utica Shale. And we have completed projects at our other locations to increase our throughput capabilities and our ability to load our facilities with a higher percentage of premium products. We're also continuing our efforts to develop proprietary premium and semi-premium connections as the growth of horizontal drilling increases the demand for these products. Now let me turn the call over to Dan for some additional information about the quarter and full year's results. Dan?
Dan Lesnak: Thanks, John. Capital spending totaled $222 million in the fourth quarter and $848 million for the full year 2011. We currently estimate the capital spending will be approximately $900 million in 2012, as we complete our strategic coke and coke substitute projects at Clairton and Gary and we continue the implementation of an enterprise resource playing system to help us operate more efficiently and to maximize cost-effectiveness and control across our global operations. Depreciation, depletion and amortization totaled $169 million in the fourth quarter and $681 million for the year. We currently expect DD&A to be approximately $660 million in 2012. Pension and other benefits cost for the quarter totaled $155 million and we made cash payments of $116 million. Pension and benefits cost for the full year totaled $602 million. We made cash payments of $626 million which includes the $140 million voluntary contribution we made to our main defined-benefit pension plan in the third quarter. Now Gretchen will give us additional information on our outlook for the first quarter of 2012.
Gretchen Robinson Haggerty: Thank you, Dan. Let me start by providing some details on our estimated pension and other benefit obligations for 2012. Based on current market conditions, we have revised several of the major assumptions that drive our pension and other benefits calculation. We've reduced our discount rate assumption to 4.5% from the 5% that we used at year-end 2010. We've also reduced our expected rate of return on assets by 25 basis points to 7.75% in the United States and 7.25% in Canada.  Using these revised assumptions, we expect our pension and other benefits cost to be approximately $535 million in 2012, about $65 million lower than our 2011 costs. And we expect cash payments for pension and other benefits to be approximately $500 million in 2012, excluding any voluntary contributions we may choose to make and any contributions to our trust for retiree healthcare and life insurance. We do not have a mandatory contribution requirement for our main U.S.-defined-benefit pension plan in 2012, but likely we'll make at least $140 million voluntary contribution as we have done for many years. At year-end, our pension plans were underfunded on an accounting basis by approximately $2.4 billion as compared to an underfunded status of $2 billion as of December 31, 2010. At year-end, our other benefits plans were underfunded by approximately $2.7 billion as compared to an underfunded status of $2.9 billion as of December 31, 2010. We will have more details in our Form 10-K when it is filed later this quarter. Cash flow from operations was $60 million for the fourth quarter and $168 million for the year. Excluding working capital changes, cash flow from operations totaled $709 million for 2011. Working capital was the source of cash in the fourth quarter as compared to the second and third quarters when built-in inventories resulted in higher investments than working capital. As we have discussed with you over the last several quarters, for several reasons, we have been carrying higher raw materials and steel inventories. In Europe, we worked down these inventories in the fourth quarter. And in North America, we also have entered into agreements to sell excess pellet inventories in 2012, as John discussed earlier. We ended the quarter in a strong liquidity position, with cash of $408 million and total liquidity of $1.8 billion. Now turning to our outlook for the first quarter. We expect to report a significant improvement in our operating results for the first quarter as compared to the fourth quarter, mainly driven by improved average realized prices and shipments for our Flat-rolled segment. Our Tubular operations are expected to have another strong performance, as operating results are expected to be in line with the fourth quarter. We expect our European segment results to reflect the effects of the continued difficult economic environment across Europe. We expect good results for our Flat-rolled segment in the first quarter as a result of increased average realized prices and shipments as market conditions improved significantly late in the fourth quarter, with improving end user demand and lower customer inventories. While our quarterly index-based pricing for the first quarter will be lower than the fourth quarter, incorporating the decrease from the third to fourth quarter in published market price assessments. The expected increase in first quarter prices reflect higher average realized prices on both spot and contract business, reflecting increases in our newly negotiated cost-based and firm-priced contracts. Operating costs are expected to improve in the first quarter, reflecting reduced energy costs and facility maintenance and outage costs, partially offset by higher raw material costs. First quarter results will also improve as compared to the fourth quarter due to the absence of the effect of the pellet transactions that John mentioned. Excluding the loss on the sale of U.S. Steel Serbia, we expect first quarter results for our European segment to improve compared to the fourth quarter of 2011 due to the elimination of operating losses associated with our Serbian operations. European spot market prices appear to have bottomed and are expected to increase throughout the remainder of quarter. However, contract prices are expected to decrease compared to the fourth quarter. Maintenance work has been completed on a blast furnace in Slovakia that was taken offline late in the fourth quarter and we restarted that furnace last week. For our Tubular segment, first quarter 2012 results are expected to maintain the solid performance achieved in the prior 2 quarters as the demand for oil country tubular goods and line pipe remains strong. Tubular shipments are expected to increase modestly from the fourth quarter while average realized prices are expected to be comparable to the fourth quarter. And overall, we expect shale resource development and oil-directed drilling to continue to drive the rig count, while natural gas drilling is being affected by the high levels of natural gas in storage. Dan?
Dan Lesnak: Thank you, Gretchen. Can we please do live questions now?
Operator: [Operator Instructions] And we'll go to the line of Michael Gambardella from JPMorgan.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: Just a couple of questions. Do you have the fourth quarter results for Serbia?
Gretchen Robinson Haggerty: Mike, we're going to be filing some pro forma financials in a couple of days. We're required to do that, it will be pro forma U.S. Steel. But you'll be able to figure out from what we filed that the loss was on the order of $65 million.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: In the fourth quarter about, okay. And then did you purchase coke in 2011, and how much? And since you're not going to be purchasing in 2012, how much of a benefit do you think that'll have?
John P. Surma: We probably purchased some in 2011, Mike. It wasn't a lot because we didn't run as heavy and we were doing quite a bit better on our own production, plus we were doing a lot of gas and reduced our requirements. And I don't know that we didn't buy any from Asia or very little. We did -- we may have purchased some. I think we did from some domestic sources, and that's largely for logistical benefits where it might make sense and might not make sense to ship Clairton coke to Alabama, for example. So I'd say it was a fairly modest effect and the benefit is not having to go far away and buy a lot. So there'll be some improvement just by not using any merchant coke year-to-year, but I think it's more affected by the amount of gas balance because I've said, 100 pounds per ton of hot metal gas as compared to coke is a pretty good benefit.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: Right. And then you used about 100, 110 million Btus of gas?
John P. Surma: In North America, maybe a little more than that these days. But in that zone, yes.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: And then how much do you expect to save on that versus 2011?
John P. Surma: Well, that depends on where the strip goes. But if its a $2 difference, you could do the math and just take 125 and it would be a good-sized number.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: And then a final question. I know you mentioned that the index pricing, you won't get the benefit of that in the first quarter. Obviously, it will come into the second quarter results. How much of a penalty is that for the first quarter and how much is the index pricing for you going down in the first quarter?
John P. Surma: My memory tells me it's about $30 per ton on that, I think. If you go back to the appendix, it tells you, I think, that's about 20% of our book, plus or minus. So I think that will give you the number you need, Mike. And I think, well, we did say, if you noticed in our earnings release, I believe we said that our contract pricing in the first quarter is going to be up overall even though that contract form will be down. The implication, I think, that our other contract activity was pretty successful. But down for the first quarter I think 30, unless Dan comes up with a different number, pretty close to it. And then unless things will change dramatically, there will be an increase of some significant amount probably in the second quarter.
Operator: Our next question is from the line of Kuni Chen with CRT Capital Group.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Just going back to Serbia. Obviously, some tough choices there. You mentioned the fourth quarter loss and the $60 million range. But if we just look at the fixed cost over the balance of the year, can you give us some view on what the magnitude is there?
Gretchen Robinson Haggerty: You mean for Serbia now, we sold that effective January 31. Today, everything associated with the company is going into sale, Kuni.
Kuni M. Chen - CRT Capital Group LLC, Research Division: No, I understand that. But fixed cost looking back over to 2011.
Gretchen Robinson Haggerty: Well, we gave you -- the $200 million number includes all the costs. So we give you that for 2011. About $65 million of that fell into the fourth quarter.
John P. Surma: And Kuni, if what you're asking is whether there's some other cost in the company that were being absorbed there that won't be absorbed there now, there may be but it would be quite inconsequential.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Okay, got you. And I guess, could you just give us some view on what you're hearing from your customers in the Tubular business, particularly on the gas side of the market, if the discussion there has changed recently?
John P. Surma: Well, not much difference than what's probably in the public domain. There have been some indications that some drilling on the gas side will be cut back and expectation rigs to be redirected towards more liquids-oriented plays. I think that's been the trend for the last -- some period of time. Probably continues. Now whether or not that can all happen overnight, probably can't, so there's probably some time when that transition takes place, but we're hoping that those that are really good guess plays continue to be drilled and developed and that the rigs that may not be used in other gas plays are going to be someplace where the liquids can be drilled because there's still a lot of good prospects. So I think that migration is continuing but we don't have any real great visibility as to how quickly or how significant any transitional period might be.
Operator: And next, go to Michelle Applebaum with Steel Market Intelligence.
Michelle Applebaum: I'm not knocked out on the Serbia sale. Really impressive that you're able to do it so quickly and so cleanly and the numbers on Slovakia were amazing. So congratulations, guys. And I can't ask the question I've been asking every quarter, can I?
John P. Surma: We're confident that you're going to come up with another one.
Michelle Applebaum: My question for you is, Thyssen is talking about potentially divesting CSA potentially divesting U.S. Americas business. If they divest CSA, then the sale -- maybe they would get a purchase agreement for the slabs and everything would be hunky-dory. But it would seem to me there might be an opportunity. Would you be interested in acquiring that? Or joint venturing, whatever?
John P. Surma: I don't think we have any comment at this point, Michelle. I've seen a little bit of some speculation about that but I don't know how know how serious any of it is. And it's just too premature for us to even think about it. It's an interesting set of facilities, as far as we understand them. No doubt they're great facilities but whether there's anything of interest from our standpoint, way too soon to even think about that.
Michelle Applebaum: Okay. And can you comment on -- I think the question we've all been asking from time-to-time in these calls is looking at relative global pricing, we're seeing U.S. at a big premium to foreign, and John, you remember, 4, 5, 6 years ago, the first time you were CEO and I asked you this question, and you quoted yourself for years because you comment then was you didn't care about the differential? And now, after that, you seem to care. So just wondering how you feel about the differential in pricing domestic versus foreign and what you're seeing out there in terms of the impact that might have.
John P. Surma: Sure. I have to go back and watch the videotape again on whatever happened some years ago, but I think currently, we could see what happened last year. There seemed to be a bit of a pickup in imports in the middle part of year and that had some dampening effect, predictably. And that probably, among other reasons, was caused by a pretty good-sized gap. There are some things that are a little different in this year than last year. I think overall demand is a bit more firm here, in North America, that is. And I think the supply chain is pretty well-developed now and at least we're pretty encouraged on what we're doing and availability should not be as much of an issue for North American customers. So that wouldn't be a reason to be looking to offshore offerings. And the overall absolute level of spot pricing today is not in the same zone as where it got to last year. I don't know if it will or not, the market will decide that. But I think the gap is not as significant as it got to last year. So there's a moderating effects but I have to say it's something we watch carefully, and we're prepared to try to deal with as best we can by being competitive. We think our costs are in pretty good shape, but it's something worth watching. We see no signs of it so far, but with the level of prices and where foreign trade goes, it's not impossible to see more imports. But we haven't seen it so far.
Operator: Our next question is from David Lipschitz with CLSA.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: Yes, can you talk to me about your coking coal situation? Prices have obviously run, have come down pretty significantly from the summer or things like that, and looks like potentially they're going lower. Why haven't you -- why don't you wait a little longer to see how this whole plays out if price continue to go lower?
John P. Surma: Well, our general practice has been, our suppliers' preferences has been is to try to arrange things on an annual basis. It provides us with a stable supply. And I think us being one of the first stops on the rail line or on the barge line, puts us in a good position with our coal suppliers. It may be coal prices go lower or maybe they go higher. But we like where we settled. We think we've got pretty good prices, and we've got a good supply and we're confident we're going to be well taken care of by our suppliers. So we felt this was still a good time to make that deal and our suppliers were of a mind to do that. So we're comfortable with where we are. Small increase over last year, much less than some on your side of the table were predicting for us, of course but would like lower. But we think we ended up in a pretty good position.
David Lipschitz - Credit Agricole Securities (USA) Inc., Research Division: And then just 1 quick question on the coke. You said 100 pounds, that's from 2010 numbers, correct?
John P. Surma: From sort of exit '10 to '12, around 100 pounds would be a number.
Operator: Your next question is from Justine Fisher with Goldman Sachs.
Justine Fisher - Goldman Sachs Group Inc., Research Division: The first question I have is just on our inventories of ore and of finished product as well. I know that you guys have said that you wouldn't continue to build from inventories until the market improves. But where do you stand now on your inventory to finished goods and also you inventories of iron ore in the U.S. and how much more do you think you have to go before those are down to a reasonable level? Might that be in the first quarter where you start really getting rid of more of those inventories?
John P. Surma: A couple of different questions there, Justine. I'll try to get them all. But I think on the Steel Product side, our inventories were really getting restored to the level we needed to be able to provide the right level of service to our customers, particularly on the value-added product side. In the carnage of '08 and '09, we probably went a little far in drawing down and weren't able to supply as well as we could. And then when we had the slightest disruption, we were then behind the 8-ball and things just went south from there. We didn't want to have that happen again, nor do our customers want to have happen. So I think part of what we're doing is restoring inventory to a reasonable level and then we do have some slab stock that we want to be able to take advantage of opportunities when they're presented. If it turns out the market doesn't develop in a way that, that required, it's pretty easy to run those or standard sizes where we won't make as much and it's a good way to draw down. Those are going to be sort of game-time decisions. So I think our steel inventory will follow the market. If the market is where it is today or improves, we're probably not too far off where we need to be. If the market slows down a bit from here, it's always possible, then we would probably pull back into steel inventory and correct part of that. And we just do that by making less. On the raw material side, we'll be probably disposing of some more iron ore, if that's possible. And if the market slows down, we'd be more aggressive on that. We're going to run our minds pretty full but our incremental cost to production for our own pellet production is really low. And we can reasonably, easily sell that in the world market if we chose to. I don't think it's going to be a long-time business for us but I think it's something we can do if we need to. So we'll moderate our iron ore inventory, and to some degree, coal and coke, just based on what our needs are and how the year develops. So we're in a position to go either way. Iron ore side, some sales perhaps continuing this year. Coke, maybe some merchant sales. Coal, we're pretty well set and should be just about what we need. So that's how we see inventory. Gretchen, anything you want to add to that?
Justine Fisher - Goldman Sachs Group Inc., Research Division: Okay. And then just a clarification on the $200 million loss from Serbia, is that like all a cash loss or are there some non-cash numbers in that $200 million dollars? Or is that for all cash numbers?
Gretchen Robinson Haggerty: Yes, the depreciation over there, Justine, it probably run in the order of $25 million a year. So aside from that, and of course, one -- our effective tax rate gets a little distorted because we can't -- we don't have a provision on the losses in Serbia because there's a full valuation allowance there. So those are probably the most important things about that.
Operator: And next, go to Luke Folta with Jefferies.
Luke Folta - Jefferies & Company, Inc., Research Division: Three quick ones, if I could. Firstly, can you give us a sense of what's operating right now across the system from a steel-making perspective and what your plans are for outages for 2012?
John P. Surma: Sure. I'll just go to Europe for a second. I think in the release, we mentioned we brought our third blast furnace up, so we now have 3. In Slovakia, they're all running. PCI on all 3, so we're up and running there. In North America, we're running everything except the Hamilton blast furnace and steel shops, and we're running pretty full right now. We don't have any big maintenance projects planned in the first quarter. We've indicated our maintenance spending will be down in the first quarter. I don't want to get too specific after that. We'll have some outages during the course of the year on a number of our furnaces but when we saw them, it depends on where the market goes and how busy we are. I'd say today, we're probably running -- if you just take the U.S. plans that would compare to what you see in AISI numbers, we're probably operating around 90%. Maybe a little bit more, a little bit less, but probably around 90%. If you include our North American in total, we're probably in the 84% range. So we're planning on running in the first quarter about -- everything we have except Hamilton about as hard as we can.
Luke Folta - Jefferies & Company, Inc., Research Division: And any thoughts on restarting Hamilton?
John P. Surma: Well, we think a lot about it but it's a quite a big step and there's time and training and people and working capital and it's not so much today's market but we got to have a sense that there's some sustainability to the market that would allow us to get a return on the investment because it would not be inconsequential. So we think about it, look at it, but we haven't decided to do it so far.
Luke Folta - Jefferies & Company, Inc., Research Division: Okay. And then in Europe, with the removal of the losses in Serbia, and you said the prices are starting to kind of inch out there throughout the quarter for Slovakia, any chance that you're close to making a profit there in the first quarter?
John P. Surma: Well, it's a really good objective but it's a stretch. We're going to try as hard as we can. It really depends on how fast things come back. One of our other problems is, of course, that we ran really low levels in the fourth quarter and raw materials costs are coming down but we still have some higher cost material we've got to chew our way through now in the first quarter. So this takes a lot to be corrected but we're going to try like heck to do what you said. That's a great stretch objective. I just don't know if we can do it. We're going to close on it. I'd like to think as we would exit the quarter, we would do so in a profitable manner and then would set up to a little bit better second quarter. But your guess is as good as mine as to what tomorrow's news in Europe may bring.
Luke Folta - Jefferies & Company, Inc., Research Division: And if I could just sneak one more in there, regarding your fixed price business, can you give us a sense of what percentage of your fixed contracts renew on a calendar basis?
John P. Surma: On a calendar basis, I don't have that number in my head. It won't be all of them. It would be like 2/3 or something like that. More than half would be calendar and there would be some that would come through at the end of April, I think, in that time frame. And then a smattering it will be at the end of June but it will be -- the majority will be at the end of the year, but not all.
Operator: Our next question is from Shneur Gershuni with UBS.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: Just a follow up on some of the Europeans question you just got. In your commentary, you said you're expecting spot prices to increase. We've been hearing about rounds of announced price hikes. Is that what gives you the confidence that the price is going to go up? And then if you can sort of bring that back to the important question that Michelle asked earlier, if that was to occur, does the spread tighten too much and you don't expect imports at all?
John P. Surma: Well, that would be swell if European prices went up so far so fast but there was no gap. Probably would be the best way to close it. That would be wonderful. But, I think the moves in Europe that we can observe so far in the marketplace that we're dealing with are still the beginning and they're somewhat tentative. We're going to be as reasonably aggressive as we can. But the market there, from a consumption standpoint, is not great, and the utilization percentage for the industry still in the 60s, I think. It's the last number I saw. So lots of the capacity still off-line. So I think it's a tentative recovery, and we hope that it continues. But whether it moves far enough that it would affect's that difference between Europe and U.S. It would be nice if it did but that may be too much to expect just in the first quarter.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: On the Raw Materials side, in your comments, you talked about blending in some lower grades of met coal. I'm assuming it's the Pittsburgh 8 Seam coal. Is that an opportunity for you to bring that coal into the European market as well to and blend there?
John P. Surma: It is and we already do.
Shneur Z. Gershuni - UBS Investment Bank, Research Division: And then one final question on the Tubular side. I was wondering if you talk about the deepwater drilling opportunity. The president obviously spoke about in the State of the Union that he wants to open it up more. If I remember correctly, you're one of 3 mills that can actually do deepwater drilling. I was wondering if you can kind of quantify what that opportunity would be to U.S. Steel.
John P. Surma: Well, just anecdotally we have had some additional activity, inquiry, some production runs we're running at Lorain, particularly on the wide-diameter stuff, that's where we would get a nice piece of it. It's hard for me to talk about how much because I don't know. But that mill capacity might be 300,000 or 400,000 tons, something like that. And so that would quantify what the mill can do in total. The more of that it would be going. The walls have to be thicker now. It's a real challenging product to make and we can make it pretty well. That's a very nice margin product for us. So it would be nice if that really came on strong and we're seeing some signs of it but hard for me to give you a number. But if another 50,000 tons of that kind of price and margin, that's pretty good business for us.
Operator: Our next question is from Timna Tanners with Bank of America Merrill Lynch.
Timna Tanners - BofA Merrill Lynch, Research Division: I want to ask about Tubular and about cash flow uses. So on Tubular, if I could, the guidance says that prices are expected to be steady and I was just curious how that equates -- how that matches up with rising raw material cost. Have you seen those yet? Are you expecting margins to be steady as well for Tubular?
John P. Surma: Yes, I don't know that we see -- we expect a big change in cost and a lot of that is cost at weak supply, whether it's substrate for welded or rounds for seamless. And I guess, our expectations for most cost during the year are fairly flat. So I don't know that we see a big expectation for margin compression. And so margins, with any expectation, should be similar maybe because we get better at the products we're selling and the alloy percentage gets higher and our new Number 6 QNT [ph] in Lorain gets us into a better marketplace, better products. With better overall pricing and margin we might improve. But the cost, we see is relatively flat, I think.
Timna Tanners - BofA Merrill Lynch, Research Division: So Flat-rolled prices going up are not going to have an impact on Tubular, then?
John P. Surma: Well, no, they'll have some and it's going to stay, whether it's in Flat-rolled or Tubular the way. But there'll be some as spot prices move up, although they are already moving up late in the year. So there'll probably be some but I don't think it's a large amount. Gretchen?
Gretchen Robinson Haggerty: We had some spending because of the commissioning of the new facility. Probably offset that, that -- maybe more neutral.
John P. Surma: But Timna, I don't think that, we're not anticipating anything in the first quarter of the kind of margin impression that took place last year in the first and second quarter, if that's what you're remembering. It may happen. It wouldn't be the worst thing in the world if it did, but it probably -- we don't have that on our expectation for the first quarter.
Timna Tanners - BofA Merrill Lynch, Research Division: Okay, helpful. And then on cash flows, you talked in recent quarters about projects at Keetac of course and then DRI plant. I was just wondering, with the better outlook for 2012, how do you think about those projects and then your cash flow options?
John P. Surma: Well, we continue to think about them a lot and they're viable and they're excellent in value-creating products. The Keetac one with the permits now, we're actually trying to define the project if it's better, exactly how much, what size, where it might be situated and things like that to get a better engineering fix on what it's going to cost. But it's a big project and we haven't committed to it yet. We want to make sure we've got the financial wherewithal to do it. And as the year progresses, if we feel better about it, then we'll maybe be able to get further along on the DRI, EAF side. DRI in particular, the Keetac project is somewhat of an enabler for that because otherwise, our pellet position is relatively tight. So if we see our way clear on the pellet side then the DRI picture becomes more clear, and the question there is, where's the best place to do that. We got a pretty good idea we're working on. We're not prepared to talk about it now but I think it's one that when we -- if we proceed with it, I think you will find some significant interest.
Operator: And next, go to Brett Levy with Jefferies & Company.
Brett Levy - Jefferies & Company, Inc., Research Division: Guys, any thoughts at current natural gas prices and locking in for the whole year?
John P. Surma: We have done some of that already, Brett, yes. And we have a program where we take a look at what the strips are. And then as things move, we hit some targets and we make it a little heavier. So we're already doing a good bit of that in the physical market, as we usually do. We don't get into much derivative activity but we also have a separate program, as we've talked about before, where we look at -- where we have some firm pricing forward on products. So in effect, creating a gas sale short and we try to cover those in the market as well. And so we're doing that progressively. But at these levels, having some gas supply established for the rest of the year into the next year is a pretty good thing. So we're hard at work on it.
Brett Levy - Jefferies & Company, Inc., Research Division: And in then the second one is a tough question because I don't know how you can answer it sort of in a public forum. If the revenues out of the picture doesn't get foresee-ably better even than first quarter expectations, are there a number of headcount reductions or cost-cutting measures that you kind guys kind of have in the hopper or under consideration? Just to kind of make sure that cash flows get a bit more positive.
John P. Surma: Well, when you look at our overall cost structure, the employment piece of it is quite a small number these days. And our overall G&A cost structure is quite a small piece. When you put in materials and energy you sort of have just about the whole game. And our focus has really been, because of that, on reducing our carbon cost, aggressive changes in coal blends, aggressive use of gas. We have a number of capital projects that are designed to work on, hot blast stove, temperature which allows us to use more gas and better reduction. So our focus really is on where we can make some big effects. And we have a normal ongoing continuous cost improvement project where every mill and every plant, puts in a number, and they're held accountable to that number, it's a substantial number on a per ton basis. So we're doing all those things. In the normal course, we've had a number of special early retirement programs to take employment down. We'll keep doing that, but big breakthroughs in overall productivity like we had back in the early part of the decade, last decade with a different kinds of steelworker contract. Those are more difficult to come by now. There's not that many people left.
Operator: Our next question is from David Gagliano from Barclays Capital.
David Gagliano - Crédit Suisse AG, Research Division: I wanted to go back to the gas just real quickly. Based on all the changes the moves that you made on the gas, can you give us a sense as to what your average gas price was in the fourth quarter in terms of the average gas cost, I guess, in the fourth quarter?
John P. Surma: I'm going to see if Gretchen can figure that out.
Gretchen Robinson Haggerty: I'm trying to figure it out, yes.
John P. Surma: Maybe we'll have Dan see if he can find something in our...
Gretchen Robinson Haggerty: Wait, probably about 4.25.
John P. Surma: For the fourth quarter?
Gretchen Robinson Haggerty: Yes.
John P. Surma: Dave, that would be, I think, delivered to our burner tip basically. So it's got transportation all the way to where we use it.
David Gagliano - Crédit Suisse AG, Research Division: Okay. And do you have any easy numbers for us for the hedges for Q1?
John P. Surma: No. I think our expectation is it'll be lower than that by some good amount, but it's not a huge difference.
Gretchen Robinson Haggerty: And I think John was trying to indicate we've got some fixed -- some contracts where we're selling things. That we're focusing on...
John P. Surma: N We're locking our margin.
Gretchen Robinson Haggerty: [indiscernible] locking our margin there. So it's not all of our gas requirements, but it's a good piece of it.
David Gagliano - Crédit Suisse AG, Research Division: Okay. Just last question. I guess, I'll ask a lead time question in both the U.S. and Europe. Can you talk about the lead times now and how they've changed in the last month, both in Europe and you Europe, please? And that would be it for me.
John P. Surma: It's actually fairly stable in each case. The U.S. hot rolled lead time, I think, is about 6 weeks is the last number that I saw and that's been fairly stable recently. Maybe it's moved out a little bit but not maybe a week or so in the last quarter but not a huge amount. Actually fairly stable and similarly, in Europe, I don't see a big change in Europe. I think lead times are probably, as far as Europe is concerned, relatively short for Europe. But the industry's running at low levels of capacity utilization. That's not surprising.
Operator: Our next question is from David MacGregor with Longbow Research.
David S. MacGregor - Longbow Research LLC: Just a question on the coke sales efficiency. I guess, you got Gary Carbonyx coming out, you got Clairton C-Battery and I'm mindful that these aren't going to hit full production until early 2013. But just based on the current economics today, could you just update us on the expected annual savings at full production rates from these initiatives?
John P. Surma: Boy, that's hard for me to do. I mean, let me say it this way. If we hadn't done those and between the 2 we're talking about 1.5 million tons, if we were -- and we've had years when we were in the market for 2 million tons So if we were buying 1.5 million tons of coke in the merchant market, let's just say we'd be getting it to our plants with a huge green loss, I might add, at 400 a ton and we're going to be making it for 350 or so. So you can see our economics there are quite good.
David S. MacGregor - Longbow Research LLC: Just couple of things for the model. 2012 normalized tax rate, the Serbian sale, what changes with respect to the intercompany loan? And then you mentioned you may still have some pellets to sell. Can you just frame that up for some tonnage?
Gretchen Robinson Haggerty: Well, you're talking about the $1.6 billion intercompany loan?
David S. MacGregor - Longbow Research LLC: Yes.
Gretchen Robinson Haggerty: I think that's probably still there in that order of magnitude.
David S. MacGregor - Longbow Research LLC: No change there, okay.
John P. Surma: The Serbian matter hasn't affected that in any way. All things being equal, the absence of non-tax-effected losses in Serbia would bring our effective tax rate down. All things being equal, we have to see how everything else is. But all things being equal, I think the number we gave in the earnings release was $200 million. So you could -- the nontax effect of that is pretty significant. So it'll be a different tax rate just because of the absence of that. And then pellet sales, that was the last item. I don't know that we have a specific number. I think the figure we've already talked about doing is about 1 million. It depends on how the year shapes up and if we have excess, depending on how much we melt. Selling that much or more additionally this year would certainly be possible if there's a demand for it.
Operator: Our next question is from Brian Yu with Citi.
Brian Yu - Citigroup Inc, Research Division: John, with those pellets, what's your annual purchase commitment from the third parties? Is that related to Hamilton?
John P. Surma: Well, let me just give you the context here of that matter. Our -- what I think we are committed to this year on contracts is a couple of million tons, I believe, something like that; 2.1 or so million tons, something along those lines. And part of that is a contract we stepped into with respect to Stelco. Whether they were really both came via Stelco or an equity interest that was previously held and in a contract that was there. And we're just sort of running those out and playing those out. They may come at quite a higher in our own equity production, of course, our own mine production. I think if you add them all up, we'll produce in our own 2 mines, let's just say, 21 million tons. Let's just say a cost number down to the lake at $50 a ton for sake of discussion. Another 3 million tons coming from our equity interests there, the cost a little bit higher, not quite as competitive. But let's just say 60, maybe a little bit less than that. And then these other 2 million to 3 million tons that weigh over 100, 120, 140 something like that. So if we take the average of all that, the prices we sold these pellet at, we actually made money. If you compare the selling price to our incremental cost, we made a lot of money. It just so happened that some of the purchased pellets were in a position where they were the best ones to sell for logistics and customer requirements needs. And so they happen to be in a separate inventory, non-U.S inventory, the Canadian inventory and they were at full cost, not at average cost. So that was kind of accidental. If we sell more pellets, they may be purchased, they may not be, and the accounting effect would be what it's going to be. The fact is those costs come through whether it was all at once like that or periodically, as part of our overall average cost, they would come through one way or the other. In this case, they came through with 2011 business. That wasn't the objective. It just turned out that way.
Brian Yu - Citigroup Inc, Research Division: Okay. And then separately, back on the natural gas. I think in the past, you've talked about maybe entering to working interest recruitment as part of a DRI product project plan. Any new developments on that end? Is that something you're actively pursuing given where gas prices are? Or is that maybe 1 year or 2 out?
John P. Surma: No, we're actively pursuing it in tandem with the development of the project. And what we don't want to do is to have a gas-enabled project without a gas supply, nor do we really want to have kind of an incremental gas supply without a project. So we want to keep those 2 in tandem although just the structure of the market today has caused us to sort of get anxious about trying to get something done on both the project and on the gas supply. So we're still actively at it and those 2 should come together.
Operator: And next, we'll go to Sohail Tharani with Goldman Sachs.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: Quick question. John, did I hear you right that you that said with all the changes and initiatives you have taken to reduce the coke and coal consumption that you will not be in the market for coke this year?
John P. Surma: In North America, we won't. We may do a little bit of buying in one place and selling someplace else or trading just for logistics reasons. But given our expectations for our melt requirements, which are pretty good for this year, yes, we think we're okay. We think our coke production, that'll be coming on and our coke production from our existing facilities, we've been doing 3 wells and other things to make sure our batteries are running well. And this godsend called natural gas, I think we're in pretty good shape.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: So when Clairton and the Carbonyx project comes up, would you be just not running it if the utilization rates, let's say, don't go back to their old normal levels? Or do you have some old facilities you can -- coke facilities you can shut down and use the coke for the new facilities?
John P. Surma: That's a good question, Sohail. One of the points that we liked about the new facility is that it is flexible. It can be taken up and down with some relative ease. We want to see how that works, of course, before we get going. I guess,it's going to be a very competitive facility and once we start it, no one's going to want to stop it. There are some other batteries in our system that are nearing the end of their lives for environmental performance reasons. And that's sort of all part of the schedule. So it may be that, that can be something that slows us down a bit. And keep in mind, it could take out some production where the Carbonyx would replace it. Keep in mind, we're still running the coke plant in Hamilton with a pretty high level and that incremental coke in the system not being consumed in Hamilton.
Sohail Tharani - Goldman Sachs Group Inc., Research Division: And then lastly, is there any furnace coming up for major overhaul over the next couple of years where you need the full factory changes and other repair?
John P. Surma: Oh, sure. We've got -- there's different grades of that. None that would be, at least not in this year's this year's plan, I don't think that would be complete, ground-up rebuild like we did with our #14 furnace a few years ago. We'll have a variety of hearth projects and stays and cooling members and all that. And some can be quite expensive. Well have some of those later in the year. But I would put him in the category of routine work, none that would be end-of-life kind of restoration this year, at least that's not what we're expecting.
Operator: Our next question is from Dave Katz with JP Morgan.
David Katz - JP Morgan Chase & Co, Research Division: I was hoping that you guys would be able to address some of the recent WTO activity and how, if at all, that all might affect you?
John P. Surma: You're talking about the China case with respect to raw materials?
David Katz - JP Morgan Chase & Co, Research Division: Yes.
John P. Surma: Yes, well, it's an excellent victory for Ambassador Kirk and the USTR staff and other countries who joined in the case. And it's very new, and I've been sort of tied up with all the activities we've had here in the last 24 to 48 hours, so I haven't had the chance to fully digest it. But my understanding from experts preliminarily is that it's a very good ruling on the merits on this matter, but also more generally on just the U.S. reasserting that we have rights to the WTO and we shouldn't lose every case, which is how it's been the last 10 years. So we think Ambassador Kirk and his staff and others in the government that took that on, I think, courageously did the right thing and we're glad the case came out the right way because the facts were on our side. Now there's some specific things in there about coke and magnesium, other things that we have an interest in, but it's too soon for me to say how that might affect us because inevitably, there's more steps to go through with the WTO.
David Gagliano - Crédit Suisse AG, Research Division: Okay, and then with regard to Tubular, I heard you reasoning what the likely shift in drilling as time goes on. But with natural gas prices down where they are over time, if they stay there, would that cause you to change the focus of your product mix?
John P. Surma: No, not really. I think our product mix is fine for oil or gas. It really doesn't have to change. It's really dependent more on the resource. And there could be -- the resource, whether it's oil or gas, will dictate what the pipe requirements may be. So a so a real challenging resource that requires high-end type, seamless alloy connections. Whether it's oil or gas, either way we like it. I think it's more an absolute level of drilling that could be affected for some time. Keep in mind, gas is a really good fuel and we have a large supply. We have -- demand is too low and we need to have better use of natural gas in industrial applications, which we want to try to do and every other application you can think of. It's the best source of energy, lowest carbon, most easily accessible, safest transport for all the reasons that have been described. We think natural gas is good great play. So it's more of a demand question, I think, than supply. But our pipe will be used, whether it's oil or gas. It doesn't make a difference.
Operator: And next, go to Tony Rizzuto with Dahlman Rose.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: John, I got a question for you. I was wondering how you think about the supply-demand balance for the OCTG market. I mean, we've got the Vallourec bringing on supply this year, Youngstown, kind of in your backyard. And it looks like it could total once they get up to capacity. Obviously, it's going to take time to get there, but it's about 10%. And I'm just wondering how you see that play out, how you think about volumes and mix and any scope for price improvement in 2012?
John P. Surma: Well, there certainly is some capacity coming on if you just read the trade press about the things you mentioned. We think we're going to be able to remain really competitive in the key markets that we're focused on because we've done a good job for the customer so far. We're in the right places, the right markets with the right customers. And what's in growing demand is the size range and the metallurgy that we can provide on the alloy side. And quite frankly, I think our customers like the fact that we're an integrated producer. And when the steel market gets tight, there's nothing to worry about with us. We have 20 million tons of steel behind our pipe mill. So I like to think that, that puts us in a place where we can remain competitive. If anything, the market's going to be competitive. Maybe imports should give back part of the share that they've taken. Particularly if they're fairly traded, they theoretically probably should be. So I think it's going to be a competitive market it is today and we're going to do our best to find our way in the world. But it's a competitive market but I think we can do U.S. Steel. We can do okay.
Anthony B. Rizzuto - Dahlman Rose & Company, LLC, Research Division: And just a follow-up, I was wondering if you are also planning to break out on a pro forma basis the prior results, Serbia from Slovakia?
Gretchen Robinson Haggerty: Our requirement is that because our K's not filed, we'll do 9 months of 2011 and the full year of 2010. So that should be available a couple of days, Tony.
Operator: And we'll go to Evan Kurtz with Morgan Stanley.
Evan L. Kurtz - Morgan Stanley, Research Division: Most of my questions have been asked, but just one more follow up on Tubular. Just wanted to drill down a little bit more on this very current market condition. If you look at the PIPELOGIX data, it's down last couple of months by a bit and your guidance was flat pricing in the first quarter. I'm just wondering if all can be explained by mix and new heat treats in Lorain?
John P. Surma: Well, our guidance, I think, has both of those things in it. The PIPELOGIX inventory numbers were relatively low. They were under 4 months of supply which we think is pretty good and I think again sets up for a decent market still over 2,000 rigs or very close to it last time I saw. So I think with what we're seeing in our numbers at least is pretty robust expectations on shipments, price is stable. The mix can shift, to be honest, but we're -- recent quarters have been moving more towards alloy and more towards seamless, our new heat treat line and finishing line in Lorain, and we also make changes in Fairfield as well as in East Texas. We can run the Fairfield seamless mill now I little harder and be able to finish it all in the right size ranges that we couldn't do before. So that's also helping us. So that's moving is in the right direction. I guess, I'd expect that the first quarter to still be okay.
Evan L. Kurtz - Morgan Stanley, Research Division: And then just maybe one final question on CapEx. You give us that $900 million figure. Are there any kind of big chunks of that you could break out as far as what main projects are driving that?
John P. Surma: Probably the biggest things are the completion of the 2 coke projects. Those will be 2 big strategic projects here at Clairton where, not too long ago, we laid the 1 millionth brick and that's a big project. And then the 2 in Gary Carbonyx project. So I think those will be the 2 largest. We've got a placeholder for a few other things in there that aren't quite ready to go yet. And the rest would be some of our ERP system we've been working on for years. That's getting near the end of it as well. But otherwise, and there's some blast furnace projects, some stove projects that are designed to enable us to reduce coke and carbon consumption. So I'd say they're all in there. Mining equipment is usually a big chunk. We've got to renew that periodically but the big tickets on strategic projects would be the coke projects this year, finishing those off.
Operator: Our next question is from Richard Garchitorena with Crédit Suisse.
Richard Garchitorena - Crédit Suisse AG, Research Division: First question. Just on Europe, you mentioned earlier that the Serbian mill is producing mostly commodity-grade steel. Can you give us some detail, I don't know if it's going to be the pro forma, on the product mix at Slovakia currently? And also just how that will impact profit per margin per ton?
Gretchen Robinson Haggerty: Actually, Richard, we put that in a slide in the package. So if you take a look at -- let's see, Slide 8 thereabouts, yes.
John P. Surma: Yes, it's got the USSK shipments by product mix and you can see it's about half hot-rolled and a pretty good selection of other things there and you can see the market scatter, which is pretty good as well, really reflective of the manufacturing economies that are in Central Europe now. So I think that's looking back. But that's probably pretty good indication we are going forward.
Gretchen Robinson Haggerty: So that's Košice and not U.S. Steel Europe.
John P. Surma: Yes, that's got only Košice. It's got Serbia out of it.
Richard Garchitorena - Crédit Suisse AG, Research Division: And then on the raw material side, does this -- the sale impact supply chain at all in terms of obviously getting more self-sufficient like coke but on the iron ore supply all?
John P. Surma: No, not -- I mean, the Serbian situation?
Richard Garchitorena - Crédit Suisse AG, Research Division: The sale of Serbia.
John P. Surma: No, not really. I don't think so. There may have been some simplicity of dealing with both at once. But not really. I think the fact is, logistics to get materials to Serbia were really hard. By comparison, I think the logistics in the Slovakia are quite a bit better. And so I don't see any negative there whatsoever it really shouldn't be affected by it.
Operator: Our next question is from Mark Parr with KeyBanc.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: I had a couple of questions. Based On your comments about capacity utilization, I mean, you were talking about 90% in the first quarter. Would that -- if I take Hamilton out of the fourth quarter capacity, would that compare to somewhere around 83%, 84% for the fourth quarter?
John P. Surma: Let me just give you my comment. I think I said right now, we're running at about 90% in the U.S. We may be that -- we may be there for the quarter, we may not be, it depends on how things shake out. But I said we were about 90% just in the U.S. and that, Mark, to allow you to compare that to the AISI figure. Then I said I think that we would be at -- we're about 84% overall North America, and then to get that on a sort of pre-Hamilton basis, I think you add 9%, which will get you to the mid-, low 90s, like the number you're shooting for. That would be about where we are today or at least where we began the year, exited the year, something like that. Whether or not we sustain that for the whole quarter either. Whether we can or whether we're required to remains to be seen as to how things go. I hope that helps.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Another question if I could, and this is a little bit theoretical. But as you look at the business condition for Košice right now, with the order books and with the cost and the price and you compare that against 2009, would you think that Košice's opportunity in '12 is as good as it was in '09 or is it perhaps depressed more than what '09 unfolded for Košice?
John P. Surma: No, it was pretty bad and things in Europe aren't pretty good right now. But I'd like to think that we maybe have a better forward look in life than we had in '09 at the time. Mark, that was -- I try to block it out of my memory. It was really bad. I think that where we are today is maybe a bit think better than that, bit better than what we had in '09.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: And then one last question, if I could. Just seems like you've got an awful lot of cost momentum. And I mean, is there -- and a lot of people have been asking a lot of questions. Is there any way that you could even begin to try to help us understand how much of that positive cost momentum is going to show up in the first quarter?
John P. Surma: Well, I think we would just tell you that we expect our cost during 2012 to be not a whole lot different than they were during 2011. We've got a little bit of coal costs going one way, little bit of gas going the other way. Some maintenance cost that probably end up being slightly lower, depends on how all the whole otters [ph] thing plays out. But our costs are pretty good control and our fairest cost is pretty low. Scrap as the biggest variable we have and we can all see where that goes. So I'm not sure what we can do, Gretchen, unless you have an idea to further explain that, except our costs are pretty stable and pretty good control right now.
Operator: And we'll go to Sam Dubinsky with Wells Fargo.
Sam Dubinsky - Wells Fargo Securities, LLC, Research Division: Guys, just a couple of quick housekeeping questions. First, what was the maintenance outage repair cost for the your Tubular business in 4Q? I just would have expected profitability to be a tad higher given term pricing and lower raw material cost.
John P. Surma: I think when we...
Gretchen Robinson Haggerty: Order of magnitude, 20.
John P. Surma: Yes, I was going to say 20 to 25. And I think we mentioned that there was some cost associated with the start-up of the new unit where we had full employment crews and didn't have all the facilities running and producing. So I'd be at 20 to 30, in that range, about the same level of profitability.
Sam Dubinsky - Wells Fargo Securities, LLC, Research Division: And my apologies if you already mentioned this, but x-Serbia, what type of tonnage do you plan to sell from the other plants? And could you give us a profitability per ton target for 1Q? And I have one last question.
Gretchen Robinson Haggerty: Are you just talking Europe?
Sam Dubinsky - Wells Fargo Securities, LLC, Research Division: Just Europe x-Serbia, yes. So what type of tonnage are we going to expect from the other plants ongoing?
Gretchen Robinson Haggerty: I don't think -- we didn't really say that. I mean, it's still a pretty difficult environment in Europe right now.
John P. Surma: It's a 5 million tons per year, short tons per year plant roughly and we're going to operate all 3 furnaces so that implies 3.-something million or 4 million tons on an annual basis. So divide that out, that's probably where we are. I don't know that we know enough about how the market's going to develop there to come up with a profit per ton, it will be better, I think, as we said than what the fourth quarter was for all of Europe as we had it. But not as good as it's been in some other periods.
Sam Dubinsky - Wells Fargo Securities, LLC, Research Division: So it's going to be a loss per ton, is that correct? [indiscernible]
John P. Surma: In all probability, as I said, our objective would be to chase a breakeven number for the first quarter. But keep in mind, we will have one month of loss from the Serbian operation. You could see the figure we give you for the last year. Doing some simple math would tell you that we've got a little bit of a hurdle to overcome just in that 1 month.
Sam Dubinsky - Wells Fargo Securities, LLC, Research Division: And just to follow-up to that, when you report numbers, are you going to give a pro forma number which takes out the Serbia revenue or are you just going to include that as a 1Q result then x-Serbia going forward?
Gretchen Robinson Haggerty: It's probably a little early to decide whether we're going to do that. We'll probably look at what the reality of the quarter was and how significant that month was in the context and if it's significant enough, we'll comment on it.
John P. Surma: Yes, it's an interesting question, we'll take it under advisement if there's real informational value to folks on your end of the phone and that I have no objection to doing that. Let's just see how significant it is.
Operator: Our final question will come from the line of Nate Carruthers with Steel Market Intelligence.
Nate Carruthers: I was just wondering how the rate start of the cold mill and the Z-Line at Hamilton is going and then how acceptance from customers is going there as well?
John P. Surma: Good and good, Nate. Thanks for asking a good question. I was there not too long ago and the cold mill is going great. It's a terrific mill and the employees are terrific and they're as excited as can be to be back to work and it's clean as a whistle and it's running great. And I think we've actually -- we sell coal directly but of course goes into the Z-Line. The Z-Line is up and running. Largest zinc pocket in North America, I'm told. And it's a big one. And it's a bit of a tourist attraction. And it's running well also. We have been requalified on several major automotive accounts already and other qualification trials, requalifications going on today. We have no worries about that. I mean we worry about it,but we think we're going to be quite successful. Product, well accepted. And we expect to have that running full and booked full later in the year. Our automotive customers, many of them have had the product before. They liked it then they're going to like it now. So they're both doing great and I appreciate you asking the question.
Nate Carruthers: And then I actually have one more. So AK Steel says that they have iron ore escalators on all auto contracts over 6 months. How does that work for you since you don't have escalators? Do you guys get a higher price?
John P. Surma: Well, we have -- I think the pie charts that we have in the back on the appendix on the slides identify that we do have some contracts that have cost escalation clauses in them. And we have, those are based on a variety of different cost factors. And I don't really want to get too much into how our individual customer pricing arrangements are determined. But I have no idea, the company you mentioned, how they do theirs. It's none of my business. But I think from our standpoint, we have done very well, both 4 automotive customers and with them. So we like the pricing arrangements we have, they're fair to us, and I think fair to them. So we kind of like where we are and then we think we did okay this year and we think they'll do okay.
Operator: And I'll turn it back to the presenters for any closing comments.
Dan Lesnak: Thank you. I'd like -- appreciate everybody joining us and we will talk to you again next quarter. Thank you.
Operator: Ladies and gentlemen, this conference is available for replay. It starts today at 5:30 p.m. Eastern. It will last until February 2 at midnight. You may access the replay at any time by dialing (320) 365-3844. The access code is 232006. That does conclude your conference for today. Thank you for your participation. You may now disconnect.